Operator: Good morning, and welcome to Ring Energy's Fourth Quarter and Full Year 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Al Petrie, Investor Relations. Please go ahead.
Al Petrie: Thank you, Operator, and good morning, everyone. We appreciate your interest in Ring Energy. We will begin our call with comments from Paul McKinney, our Chairman of the Board and CEO, who will provide an overview of key matters for the fourth quarter and full year. We will then turn the call over to Travis Thomas, Ring's Chief Financial Officer, who will review our financial results. Paul will then return to discuss our future plans and outlook before we open the call up for questions. Also joining us on the call today and available for the Q&A session are, Alex Dyes, Executive VP of Engineering and Corporate Strategy; Marinos Baghdati, Executive VP of Operations; and Steve Brooks, Executive VP of Land, Legal, Human Resources and Marketing. During the Q&A session, we ask you to limit your questions to one and a follow-up. You’re welcome to reenter the queue later with additional questions. I'd also note that, we have posted a Q4 and full year 2022 earnings corporate presentation to our website. During the course of this conference call, the company will be making forward-looking statements within the meaning of Federal Securities Laws. Investors are cautioned that forward-looking statements are not guarantees of future performance and those actual results or developments may differ materially from those projected in the forward-looking statements and the company can give no assurance that such forward-looking statements will prove to be correct. Ring Energy disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Accordingly, you should not place undue reliance on forward-looking statements. These and other risks are described in yesterday's press release and in our filings with the SEC. These documents can be found in the Investors section of our website at ringenergy.com. Should one or more of these risk factors materialize or should underlying assumptions prove incorrect, actual results may vary materially. This conference call also includes references to certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable measure under GAAP are contained in yesterday's earnings release. Finally, as a reminder, this conference is being recorded. I'd now like to turn the call over to Paul McKinney, our Chairman and CEO.
Paul McKinney: Thanks, Al. Welcome everyone, and thank you for your interest in Ring Energy and for joining us today for our fourth quarter and year-end 2022 earnings call. We are pleased with our record operational and financial performance during the fourth quarter. Contributing to our success was a full 3 months of production from our Stronghold acquisition, the continued implementation of our targeted 2022 capital spending program, and our ongoing initiatives to drive further efficiencies in the business. During the fourth quarter, we grew sales volume by 34% over the third quarter to a record of 17,856 barrels of oil equivalent per day. Although this was slightly below our guidance, it was primarily due to downtime associated with the impact of the winter storm conditions, gas purchaser of system constraints limiting our gas sales and the CBP and Northwest Shelf areas and adjustments for a year in reversionary interest and after payout conditions. We brought on line seven new horizontal wells, including five in Northwest Shelf and to in the Legacy Central Basin Platform area, an area we now call the CBP North. We also brought on five new vertical wells in the Stronghold acreage in area which we call CBP South. We also perform nine recompletions in CBP South. We produce a record adjusted EBITDA of $56.3 million during the fourth quarter, that was 135% higher than the same quarter for the previous year. We spent $42.6 million on capital projects, what was at the lower end of our guidance of $42 million to $46 million. The result was $5.5 million of free cash flow, which was our 13th consecutive quarter of free cash flow generation. Additionally, we reduced our debt position by $20 million during the quarter and $37 million since closing the transaction on August 31, 2022. We also reaffirm the company's borrowing base of $600 million under our revolving credit facility in December. The fourth quarter marked an end of a transformational year for the company. We began 2022 with a solid base of core assets in the Northwest Shelf and Central Basin Platform, and a well defined plan to further develop our high rate of return inventory through our continuous one rig drilling program. Our pursuit of accretive acquisitions was rewarded in the third quarter by closing the Stronghold acquisition, and we ended the year with a successful integration of those assets into our operations, accounting and land record systems. 2022 was marked by several highlights including: record sales volumes of 12,364 barrels of oil equivalent per day that were 45% higher than 2021. Record net income of $138.6 million or $0.98 per diluted share. Growth in adjusted net income of 251% to a record $107.5 million or $0.89 per share, a 134% increase in adjusted EBITDA from the previous year to a record of $195.2 million, and a strong free cash flow of $34.8 million and record cash flow from operations of $172.9 million, a 70% and 149% year-over-year increase, respectively. We ended the year with $415 million of debt on the balance sheet and $188 million in liquidity, which is 3x the liquidity we had at the end of 2021. We lowered our leverage ratio by more than 50% from the previous year to 1.6x. During the full year of 2022, we drilled and completed 27 horizontal wells, including 18 in Northwest Shelf, and 9 in the Central Basin Platform North and five vertical wells in the Central Basin Platform South. We also performed 12 recompletions in CBP South. Our success in 2022 was also reflected in our year-end SEC total proved reserves, which grew 78% to a record 138.1 million barrels of oil equivalent over the prior year contributing to the increase was 62.9 million barrels of oil equivalent from acquisitions, 1.2 million barrels of oil equivalent from positive well performance revisions, and 0.8 million barrels of oil equivalent from extensions and discoveries. Partially offsetting the overall increase was approximately 4.5 million barrels of oil equivalent of production. The result was an all in replacement ratio of 13.4x production for the year. The PV-10 of our total proved reserves use an SSE prices grew 108% to $2.8 billion. Turning to our outlook, we intend to spend between $135 million and $170 million during 2023 that includes a capital efficient combination of drilling horizontal wells on our legacy acreage, and vertical wells on our CBP South acreage. This amount also includes planned spending for recompletions, capital workovers, infrastructure upgrades, leasing costs, and ESG related projects. In January, we began our 2023 capital spending program with a drilling and completion of three horizontal wells in the Northwest Shelf, all of which had been placed on production. A fourth horizontal well in Northwest Shelf has been drilled and is expected to be completed and placed on production by the end of this month. Additionally, we picked up a rig in CBP South area to drill three vertical wells and anticipate having all three wells online by the end of the month as well. Our 2023 budget assumes WTI oil prices are between $70 and $90 per barrel of oil and Henry Hub prices of between $2 and $4 per Mcf. As in the past, we have designed our spending program with flexibility to respond to changes in commodity prices and other market conditions. We expect full year 2023 sales volumes to be between 17,800 and 18,800 barrels of oil equivalent per day. When considering the midpoint of our full year 2023 sales volume guidance, we anticipate a 48% increase over full year 2022 and a 2.5% increase over fourth quarter 2022. For the first quarter of 2023, we expect sales volume to come in between 17,800 and 18,300 barrels of oil equivalent per day. So with that, I'll turn this call over to Travis to discuss our financial results and guidance in more detail. Travis?
Travis Thomas: Thanks, Paul, and good morning, everyone. Echoing Paul's comments we are very pleased with our record results for the fourth quarter and full year of 2022. Our fourth quarter benefited from 3 months results from the recently acquired Stronghold assets as well as the continued strong performance of our targeted 2022 development campaign and ongoing efforts to drive further operational efficiencies. With that backdrop, during the fourth quarter of 2022, we sold approximately 1.1 million barrels of oil 1.7 Bcf of natural gas and 241,000 barrels of NGLs for a total of 1.6 million BOE. This is 34% higher than sales of 1.2 million BOE in the third quarter. For the full year of 2022, we grew sales volumes to 4.5 million BOE, a 45% increase from 3.1 million BOE in 2021. Fourth quarter of 2022 realized pricing was $81.62 per barrel of crude oil, $2.39 per Mcf of natural gas, and $17.21 per barrel of NGLs or $60.69 per BOE. This was moderately lower than our realized pricing for the third quarter of $77.28 per BOE. However, for the full year of 2022, we saw a 22% increase in realized pricing, growing to $76.95 per BOE from $63.14 in 2021. Our fourth quarter average oil price differential from NYMEX WTI futures pricing was a negative $1.07 per barrel versus a positive $2.28 for the third quarter of 2022. This difference is due mostly to the Argus CMA role that declined to $1.79 per barrel on average for the period and the Argus WTI, WTS, which declined $1.68 per barrel from the third quarter. Our average natural gas price differential from NYMEX futures pricing for the fourth quarter was a negative $3.79 per Mcf compared to a negative $3.15 for the third quarter. Our realized NGL price for the fourth quarter averaged 21% of WTI compared to 28% for the third quarter. This combined result was record revenue for the fourth quarter of $99.7 million. That was 6% higher than third quarter revenues of $94.4 million. We also posted record revenues for the full year of 2022 of $347.2 million that represented a 77% increase from the $196.3 million for 2021. Looking at the more significant expense line items on the income statement, LOE was $17.4 million, or $10.60 per BOE compared to $13 million, or $2.67 per BOE for the third quarter of 2022. Our absolute LOE rose due to the increased sales volume during the quarter, while LOE per BOE was a bit lower than the prior quarter and below the midpoint of our guidance range of $10.25 to $11.40 per BOE. Production taxes were $5.2 million, or $3.16 per BOE versus 4.6 million or $3.74 per BOE for the third quarter, with the tax rate remaining steady at approximately 5%. DD&A was $20.9 million compared to $14.3 million for the third quarter of 2022. On a per BOE basis, DD&A increased to $12.71 from $11.73 in the third quarter. Cash G&A, which excludes share-based compensation was $6.1 million, versus $5.9 million for the third quarter. But the fourth and third quarters of 2022 each included about $1 million of transaction cost. Adjusting for the transaction cost fourth quarter 2022 Cash G&A was $3.14 per BOE compared to $3.85 per BOE for the third quarter. This represents an 18% decrease and a direct reflection of the synergies afforded by the Stronghold transaction. Interest expense was $9.5 million versus $7 million for the third quarter, with the increase substantially due to a higher average daily balance of long-term debt associated with the additional borrowings on the revolving credit facility due to the Stronghold transaction. During the fourth quarter, we posted net income of $14.5 million or $0.08 per diluted share. Excluding the estimated after tax impact of pre-tax items, including $5.4 million of non-cash unrealized loss on hedges and $2.2 million for share-based compensation expense, and 993,000 of transaction costs for the Stronghold acquisition, our fourth quarter adjusted net income was $21.8 million or $0.13 per share. This is compared to third quarter of 2022 net income of $75.1 million or $0.49 per diluted share. Excluding the estimated after tax impact of pre-tax items including $47.7 million for non-cash unrealized gain on hedges and $1.5 million for share-based compensation expense, and $1.1 million for transaction costs, our third quarter adjusted net income was $32.5 million or $0.28 per share. For full year of 2022, we posted record adjusted net income of $107.5 million or $0.89 per share. This was more than 250% higher than $30.6 million or $0.31 per share for 2021. Looking at adjusted EBITDA, we are pleased to report a record $56.3 million in the fourth quarter compared to $56 million in the third quarter as lower realized pricing for the fourth quarter significantly reduced the benefit from the 34% increase in sales volumes from the third quarter. Fourth quarter 2022 adjusted EBITDA was more than 135% higher than the $24 million reported for the same period in 2021. For full year of 2022, we posted record adjusted EBITDA of $195.2 million, which was 134% higher than the $83.3 million for 2021. Free cash flow for the fourth quarter of 2022 was $5.5 million, compared to the $9.7 million in the third quarter. The decrease was primarily due to lower realized pricing and higher interest expense and capital spending, partially offset by higher sales volumes. For full year 2022, we generated free cash flow of $34.8 million that was 70% higher than the $20.5 million in 2021. As of December 31, we had $415 million drawn on our revolving credit facility, which reflects a debt paid out of $20 million in the fourth quarter, and a total of $37 million since the closing of the Stronghold transaction, with current borrowing base of $600 million. At the end of 2022, we had $184.2 million available on the revolver net of letters of credit, combined with $3.7 million of cash we ended 2022 with liquidity of $188 million. We are focused on further debt reduction in 2023. Of course realized commodity prices and the timing of capital spending will have an impact on the cadence of quarterly debt pay down. I would also note that we recently paid the $15 million deferred payment associated with the Stronghold transaction. Looking at our share count, during the fourth quarter, we had 800,000 common warrants exercised at $0.80 per warrant. Accordingly, our fourth quarter financials reflected the issuance of the 800,000 shares of common stock and the receipt of $640,000 of cash. To date in 2023, we have had approximately 4.5 million common warrants exercised, resulting in approximately 14.6 million common warrants that remain outstanding. Turning to our 2023 outlook for the full year and first quarter. As Paul discussed, for the full year of 2023, we anticipate capital spending of $135 million to $170 million, which includes the estimated cost to drill 12 to 15 new horizontal wells, drilled 12 to 25 new vertical wells, complete and place online 24 to 40 new wells and recomplete 6 to 10 wells. Also included in our full year outlook is spending for recompletions, capital workovers and infrastructure upgrades, as well as leasing cost and non-operating drilling completion and capital workovers. Based on the $152.5 million midpoint of spending guidance, we expect the following estimated allocation of capital investment, including 70% for drilling, completion and related equipment and facilities, 22% for recompletions and capital workovers and 8% for land, ESG and non-operated capital. Looking at our sales volume guidance, we expect full year of 2023 to average 17,800 to 18,800 BOEs per day, of which approximately 68% is oil, 17% is natural gas and 15% is NGLs. Looking at this year's first quarter, as Paul discussed, in January, we kicked off our 2023 capital investment program, including drilling and completing three horizontal wells in the Northwest Shelf to date with all wells placed on production. A fourth horizontal well in the Northwest Shelf has been drilled as expected to be completed and placed on production by the end of this month. Additionally, we picked up a rig in CBP South to drill three vertical wells and anticipate having the three wells completed and online by the end of this month. As such, there will be minimal benefit for the first quarter production results associated with these four wells. Accordingly, first quarter 2023 sales are expected to be in the range of 17,800 to 18,300 BOEs per day, of which we expect 68% to be oil, 17% natural gas and 15% NGLs. For full year 2023, we anticipate LOE of $11 to $11.60 per BOE. For the first quarter of 2023, we currently expect LOE to range between $11.10 to $11.50 per BOE. I would note that all of our 2023 guidance is included in yesterday's release and in the presentation on our website. Turning to the hedge position. For full year 2023, we currently have approximately 1.7 million barrels of oil hedge or 38% of our oil sales based on the midpoint of guidance. We also have 2.4 Bcf of natural gas or 35% of our natural gas sales based on the midpoint of guidance. For quarterly breakout of our hedge position, please see our presentation on our website, which includes the average price for each contract type. So with that, I will turn it back to Paul for his closing comments before Q&A. Paul?
Paul McKinney: Thank you, Travis. Before opening this call up for questions, I'd like to reemphasize several points we have made in the past. First and foremost, the Stronghold acquisition has substantially increased our size and scale, lowered our overall cost structure and improved nearly every per share metric normally considered when comparing similar transactions. We are a stronger more diverse energy company, better positioned to manage the risks associated with price volatility and unforeseen operational issues such as power outages or mechanical failures or weather related downtime. We have significantly increased our ability to generate revenue due to higher sales volumes and the roll off of lower price hedges. The improved capital efficiency of our undeveloped inventory provides the opportunity to further optimize our future capital programs to maximize cash flow generation and to remain focused on reducing debt. The improved capital efficiency is demonstrated with the progress we have made regarding our return on capital employed, which was over 20% for 2022, representing an increase over our performance in 2021 of more than 75%. The improved capital efficiency also provides enhanced flexibility to respond to changing market conditions or to proactively adjust our capital spending plans to accommodate our pursuit of accretive balance sheet enhancing acquisitions. The bottom line is simply this. Ring Energy today is larger, stronger and more efficient with an improved balance sheet and enhanced ability to pay down debt. As previously shared, we pay down $20 million of debt in the fourth quarter, and $37 million in the last 4 months of the year. We have also increased our liquidity more than 200% over the previous year, and our proved reserves by almost 80%. So having said that, we have talked about the state of the company, our plans for 2023, and our strategy. But we haven't yet talked about the principles driving our strategy. Simply put, we tried to align our actions to those we believe create long-term value for our stockholders. We believe this company needs more size and scale to help our common stock be eligible as an investment opportunity to a wider cross section of the investment community. While we have materially reduced our leverage ratio, we believe our absolute debt levels justify our continued commitment to pay down debt. We believe continuing to pursue accretive balance sheet enhancing acquisitions is one method of achieving both of these objectives. We believe we should position this company to return capital to our stockholders. In short, we believe staying the course on our value focused proven strategy, we'll continue to position this company for success in 2023 and beyond creating long-term value for our stockholders. And with that, we will turn this call over to the operator for questions. Operator?
Operator: And the first question will be from Neal Dingmann from Truist. Please go ahead.
Neal Dingmann: Good morning, guys. Thanks for the time. Paul, my question for you or the team is just you did lay this out on a press release. But I'm wondering when it comes to sort of operational optionality, it sounds like now with Stronghold you've got obviously a lot more options. Just wondered, I guess my question is, how does the verticals over there compete with the horizontal sort of legacy and maybe just talk to that I know you did lay out kind of how many you've drilled thus far year-to-date and kind of what the plans are. So I'm just wondering, what is the -- how much optionality you have in the plan? And maybe for you or the guys how they compete for returns between the two?
Paul McKinney: Yes, go ahead. I'm going to give a first stab at that. And I'm going to let a couple of you guys kind of share their points of view. But bottom line is this. The undeveloped opportunity that came with the acquisition have very, very competitive economics. Some of them are actually superior due to the short cycle time from the date of [indiscernible] to the date you start getting oil into the tanks type of thing. And so -- but at the same time, we have system constraints. We've talked about this in the past with respect to Northwest Shelf and the Central Basin Platform [indiscernible] across CBP North now. We've tried to balance our drilling programs and our undeveloped programs and our capital spending programs to maximize the efficiency of the infrastructure that we have. And the primary issue up in the North was saltwater disposal. Well in the South, we have very attractive rates of returns, very quick payouts and turnaround times, very capital efficient program. But we also have other limitations. We also have saltwater disposal constraints down there, we also have power grid or power and electricity constraints. And so we are maximizing the cash flow generation from these assets, trying to minimize investments in infrastructure where it's not necessary. We are making investments in infrastructure where it is necessary, but it's a balanced program. And so as it turns out, some of our best economics are on the -- are associated with some of the vertical wells or drilling in the South. And so they're very, very robust from an economic perspective, and they're very robust from a standpoint of the impact it can have for the company. And so I don't know if there's any more I need to say, Marinos how about you?
Marinos Baghdati: The only thing I'd add, Paul, is that in terms of optionality, our rate contracts this year are all well to -- well to well with extensions. So there's no commitment -- long-term commitment in terms of multiple wells. We can pivot at any point. The same thing with the casing, we've secured casing for multiple projects in both areas. And so that gives us a lot of flexibility to adjust accordingly with the infrastructure constraints that we -- that might catch by surprise. In terms of the saltwater, the constraints in the South that we visited a little bit about, on the last call, on the SWD side, we have resolved a lot of those constraints. The SWD is no longer a constraint in the South. The freshwater supply has also been restrained. So we're really just facing the electrical supply kind of pivoting and trying to resolve those, which for the most part have also -- we've made a great headway there too.
Neal Dingmann: Great. And, Paul, maybe that leads into my -- go ahead, I'm sorry. Go ahead.
Alex Dyes: Yes, sorry, Neal. This is Alex. I wanted to echo on and piggyback off of Paul's and Marinos comments. We specifically anticipated some of these conversations or questions. So you'll see that we really revamped our IR deck. And if you go to Page 21 on our deck, it really kind of tackles your question there a little bit more clearly giving you a feel for what is the average well performance between horizontal well and a vertical well and the differences in cost. But that is the blended average of every single well we have. And so when you’re asking will you be spending capital on vertical wells, yes, as Paul mentioned, there is some very, very high rate of return, very short cycle time investments there. And that’s specifically due to our PJ Lea fields and that the reason that one is even greater economics is because the NRIs are really high in that asset. So if you look at Page 22, you will also get a flavor for IP 60 and present oil. And so as far as optionality, we are obviously going to focus our capital to the highest rate of return investments. In both the Slides 21, 22, really kind of answer your question.
Neal Dingmann: Yes, I like that. I saw those, that’s why I was thinking more, Alex, just on sort of future, because you’re right. I like the way you really gave some good details on what the sort of average has been so far. That’s why I was just kind of thinking on just [indiscernible] Stronghold. And then kind of my follow-up is, Paul, little bit on the same thing if you or Marinos, I wonder you guys want to jump in, is more -- there's a lot of different forecast out there for prices, [indiscernible] today and some thought before it was going to be recessionary fears. I’m just wondering how stable I guess is the easiest way to answer it or ask a question is how stable is your plan, I mean, the prices look here we are today at, let's call it $77 oil. Oil goes up to 85 or goes down to 65, you anticipate having relatively the same plan. I would be curious to know, because you seem to be in a great spot to what leverage already getting down there, you’re still going to be down under one times, so like all that. So I guess my big question is just maybe when you think about just pricing sensitivity, Paul.
Paul McKinney: Yes. And so -- and you’re not the only one who has asked this question online and privately. And so we shared [indiscernible] that our budget plans are assuming prices between $70 and $90 in WTI and Henry Hub of between $2 and $4. So let's just drop a hypothetical, if oil prices fall below $65 versus [indiscernible] period of time, we got flexibility to change our capital spending program limited to just the absolute highest ones we can. And so, again, we’ve got debt repayment goals this year and we're going to stick to it one way or another. And so we know we got the capacity, I mean, for example, if you look at January's production, January '23, our January '23 production averaged higher than the high-end of our production guidance for this year, okay. And so that should send a very clear message that we are going to be capital discipline this year. And so that capital discipline is going to be related to price. So let's take the opposite scenario. So let's say we are above $85 or $90 versus same period time where we’ve got ability to port on the growth organically. And we will do that subject to these system limitations that we have in infrastructure. Alex, do you want to [indiscernible] something?
Alex Dyes: Yes. And to also echo, Paul's comment here, I think that if you look at our guidance, we also had a bigger range on CapEx to try to [indiscernible] for that.
Paul McKinney: Does that answer your question, Neal?
Neal Dingmann: You guys spot on. I think that’s kind of what I thought. I think is that you guys in fantastic position. Thank you, Paul.
Paul McKinney: Thank you, Neal.
Operator: [Operator Instructions] The next question is from Jeff Robertson with Water Tower Research. Please go ahead.
Jeff Robertson: Thank you, Paul. You've closed the Stronghold acquisition in August and having owned those assets now for and operated them for 5 or 6 months, is there anything you've learned since you've -- since you did your diligence that you think about is playing a significant role in the 2023 capital program?
Paul McKinney: Yes, there's quite a bit we've learned. I will say this, we are every bit as excited today about this acquisition as we are the day we signed the purchase and sale agreement. We have learned several things. I'm going to turn this over to Marinos, because he can expound a little bit more on these. But we are experimenting and trying different completion techniques. We've evaluated the condition of many of the wellbores and so many of the wellbore completions may end up because of the condition of those wells. We think that through increased efficiencies, other things, we may end up redrawing those wells instead of recompleting, that's going to be a case by case basis. We have come to realize and as mentioned by Alex just a little earlier, we have certain areas in the CBP South that actually do demonstrate superior economics to even the portfolio we had before the acquisition. So -- and everybody knows how strong our economics are in the Northwest Shelf and Central Basin Platform, the legacy acreage that we have, but the rates of return and the economics of these opportunities that came in with this acquisition truly are outstanding and very competitive in this portfolio. And so we're really, really excited about that. Do you want to say anything more about the operation?
Alex Dyes: No, the only thing I'd add is that, Paul said, we’re just as excited. I think from an operations standpoint, we're more excited than we were doing acquisition. We've actually found on the PDP side, we've had five or six projects, where we've gone in and cleaned out the wells and performed a little stimulation and so forth, and actually significantly increased our production and [indiscernible] some decline. So we feel really good about the asset. We're learning a lot about it and extremely excited.
Marinos Baghdati: I'll add one more thing too. Due to the nature that we got several fields that we didn't even assign a lot of value on during the acquisition, that we are testing certain concepts that have proved valid, both in McKnight and PJ Lea and some of the other assets. And I think that you'll see us throughout some future calls, share some of those results. So more to come.
Jeff Robertson: Thanks. Just a quick follow-up on that, and then I have another redrilling wells rather than recompleting, is that because you think you can get a better completion over maybe a broader zone and then just being able to go in and use the existing casing?
Paul McKinney: That's right. This is a combination of a couple of things. With the condition of the casing and also what kind of [indiscernible] job do they have and the quantity of [indiscernible]. And so as you know, we're fracking these wells. And so really the objective is to exploit the resource for the lowest costs and lowest risk. And so it's just a balance of all of those factors as we evaluate each one of these opportunities individually. We'll make a call on that. But one thing that we have learned when you look at the results that we've seen, new wells tend to have superior producing rates, and EUR is associated with them than the recompletion wells. And so this is what's primarily driving that.
Jeff Robertson: And as a follow-up, Paul, you mentioned continuing to build scale in the Permian, Stronghold gave Ring a lot more options in terms of types of projects to invest your capital in. Can you just briefly describe what are the characteristics of an acquisition that fit the existing Ring asset base?
Paul McKinney: Yes, that's a really good question. And I think we are very fortunate with the Stronghold acquisition and that the acquisition, the way it was structured, and [indiscernible] negotiated with the sellers, it turned out to be a very, very accretive across the board on nearly every metric. I don't know the metric that it wasn't accretive on. It did a lot for this company. We targeted that set of assets. We went to them and as a result of our first offer not being sufficient for them, they decided to run a process and we prevailed through that process. But we're very -- we chose those assets for that area because of what it provided. We're still doing a similar type of analysis on other assets in the Central Basin Platform and in the Permian Basin. And so it's going to look a lot like that. Now our -- that's what we target. Now that doesn't mean that we'll end up with something that looks just like it. And the reason being is because we've been approached and we are approaching others in the marketplace that have certain types of assets, certain assets. And so we would be willing to do a PDP buy without a lot of development opportunities if we got it for the right price. But our preference is to find production, existing PDP production, that lowers our operating costs, and has showered declines long lives and then have undeveloped opportunities that have similar or at least competitive economics with the project that we have in our current inventory. I've said this in the past, Jeff, I don't want to dilute the quality of my inventory by buying stuff that's lower quality. Now, lower quality compared to the portfolio I have may still be very robust economic. And I got to be honest with you, there's a lot of companies out there that would they're envious of, of the rates of returns, and the quality of our undeveloped opportunity.  So that being what it is, we do believe that there are opportunities out there, but we believe that there are more opportunities out there that a company of our size can take down by ourselves. And so we're really excited about the future, we do believe that there's a transaction to be made, again here, sometime in 2023 or 2024. It's all a function of how the negotiation goes. And whether we can structure the deal in a way that it is accretive to my existing shareholder, and it reduces maybe not reduce debt, but actually strengthen the balance sheet. And so those are the main criteria. But again, we really like the metrics and the financial performance of this company can generate. We don't want to dilute that. And so we're going to be very disciplined. We're just not going to buy junk, we're not going to buy a bunch of PNA. We're not going to do those types of things. So that answer your question, Jeff?
Jeff Robertson: It does. Thank you.
Paul McKinney: Very good.
Operator: Okay. And our next question is from Noel Parks from Tuohy Brothers. Please go ahead.
Noel Parks: Hi, good morning.
Paul McKinney: Hey, Noel.
Noel Parks: Actually, I have done a little late, so apologies for being covered already. But just based on your last comments about what you might consider evaluating for acquisition. With a PDP acquisition, are there properties out there where there would be meaningful recompletion opportunities that could move the needle on the value of some things [indiscernible] not there?
Paul McKinney: There are actually. And it's all a function of who the prior operator was, Noel. There are certain operators in the Central Basin Platform and the Greater Permian Basin, that are known to work their properties really, really hard. And so they've already mined many of those opportunities. And then there's other operators that have focus their capital spending elsewhere. And so some of their assets could be classified as not having been worked as hard. And so that was the benefit of the Stronghold acquisition. If you look at the position that Stronghold acquired from Devon and Chevron, they had developed those assets and been managing those assets for quite some time. They tried some ideas, but they found that their capital -- they allocated their capital elsewhere. And so they left behind these type of opportunities for Stronghold, and then now us. And so -- but, yes, there are on the Central Banking Platform itself, in other areas in Northwest Shelf, we've identified assets that would be quite classified kind of what you were saying pretty much PDP, maybe not a whole lot of drone opportunities, but there are some re-completion opportunities out there as well.
Noel Parks: Great, thanks a lot.
Operator: And the next question will be from [indiscernible]. Please go ahead.
Unidentified Analyst: Hey, guys. Just one quick question, I keep getting from my clients. We made a great acquisition. We've got record numbers, we're making money, we're paying down debt. But our stock can hold $2 a share. What are the suspicions out there in the market that maybe we're not talking about? Can you help me explain that?
Paul McKinney: Rick, I get asked that question more than any other question it seems like. And that's a really tough one to understand. The marketplace as and if you go back to the investor presentation, we actually lay out kind of the argument as to why it is that we are undervalued in the marketplace. I believe that today, Ring Energy stand as probably one of the best investments in the oil and gas space. And so why is our stock so undervalued? We know that the industry has been hit hard since last summer, with the change in oil prices. And we know that the smaller companies that we've kind of fall in that category have been hit disproportionately a little harder than some of the bigger companies. But in my opinion, ring energy has generated superior at least better as good or better returns than our peer group. Yet we're trading at a much lower multiple. And so to explain that would take quite a bit of time of divesting -- investigating the marketplace, and what's been happening. And so I believe that there are couple of things that probably contribute to that, I think there are some people that will not invest in a company with the debt levels that we have. But as you point out, we're, quickly and very rapidly addressing that, and we're going to have a balance sheet, a really strong balance sheet soon just from our organic ability to pay down debt. And if we can do something similar to what we did with the Stronghold acquisition, we can strengthen that balance sheet even more. So I'd hate to think that people are penalizes too heavily for that. But to be honest with you, Rick, your question probably is better addressed to some of the analysts that follows us such as Jeff or Neil or Noel and John White dudes, who is not on the call today, but some of them would probably have more insight than I do in terms of why we're being held down. Alex, you have something you want to say?
Alex Dyes: Alex you have something you want to say.
Alex Dyes: I do. I would also add the comments that this is the first quarter that we announced all of our metrics as a full performance company, meaning all Stronghold for 3 months. And so I think that a lot of the Street and the public is waiting to see. So now, once we get a couple of quarters underneath us watching the performance of the company, you'll really start seeing the effect of that acquisition.
Paul McKinney: Yes, and I also question and I'll throw in a little bit more here. As Travis shared, 4.5 million cover, just 4.5 million warrants were converted and exercise and converted into common shares this quarter. And so that has to have an impact, Rick, on why our stock performance is the way it is, is there an overhang? These are the types of questions that a lot of people ask. I believe if there is an overhang out there, its temporary, it's not long-term. I believe that if we continue to generate the returns, we continue to strengthen our balance sheet, and we continue to do all the right things, eventually the marketplace is going to come around. And that is a reason why I personally believe when I look at the oil and gas space, other companies that are similar or would be considered peers, we represent the most compelling investment opportunity out there on the market today.
Alex Dyes: Okay. Thanks.
Paul McKinney: You’re welcome. Thanks for the question, Rick.
Operator: And the next question is a follow-up from Jeff Robertson from Water Tower Research. Please go ahead.
Jeff Robertson: Follow along the lines of leverage and in the $90, high-end of your -- the way you're budgeting, if prices went back up to $90, how do you balance increasing capital versus accelerating deleveraging? If people are concerned with deleveraging?
Paul McKinney: Yes, and so again, part of the reason why we gave that range of $70 to $90, is because when you fall below 70, and I use 65, as an example, for an extended or sustained period of time, that would really encourage us to change our capital spending programs. Now if we're at $90, I'm going to take the additional excess cash from operations to pay down debt. Now, if we get above $90, for a sustained period of time, let's just say we're at 100 bucks, well, then we're probably going to add capital because we're going to grow organically. And now it'll also be dependent on other factors such as, do we have something our size, are we successful in negotiating the deal? Will there will we bring a deal down this year these type of things? But yes, so that was the purpose of providing the guidance. But if we're at sustainably above 100 bucks, yes, I believe the marketplace could expect us to at least pick up the drilling and capital spending a little bit more than what we've shown here. But again, our preferences is going to be paying down debt. And so if the capital spend versus our EBITDA for the year gets below 50%, well we'll probably keep it at that 50% level or more.
Jeff Robertson: So at a higher commodity price deck, you could both increase deleveraging and also grow the production base to support higher EBITDA numbers. So you get lower leverage and higher EBITDA numbers, which in theory should flow through to the valuation?
Paul McKinney: It certainly would. In those types of scenarios, yes, I believe we could surpass our debt repayment goals for the year. And that type of scenario or EBITDA is coming up. Yes, we could make substantial reductions in the leverage ratio itself, even to the point to where we're down around [indiscernible] even though potentially below one.
Jeff Robertson: Great, thank you.
Operator: Ladies and gentlemen, at this time, there are no further questions. So let's turn the conference back to Paul McKinney, for any closing remarks.
Paul McKinney: Okay. Thank you again for your interest and join us on the call today. We are looking forward to 2023. We are very excited about what this year can do for Ring's shareholders. We are working hard and diligently and continue with the value focus proven strategy that we’ve laid out. And we hope to hear from you again [indiscernible] on the next call, but in the meantime we will be working hard for you. Thanks for joining us on the call today.
Operator: And thank you, sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.